Operator: Greetings, and welcome to the EPAM Systems Second Quarter 2015 Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host Lilya Chernova, IR. Thank you, you may begin.
Lilya Chernova: Thank you. Good morning, everyone. By now, you should have received your copy of the earnings release for the company’s second quarter 2015 results. If you have not, a copy is available in the Investor Relations section on our website at epam.com. The speakers on today’s call are Arkadiy Dobkin, CEO and President; and Anthony Conte, Chief Financial Officer. Before we begin, I would like to remind you that some of the comments made on today’s call and some of the responses to your questions may contain forward-looking statements. These statements are subject to the risks and uncertainties as described in the company’s earnings release and other filings with the SEC. Arkadiy?
Arkadiy Dobkin: Thank you, Lilya. Good morning, everyone and thanks for joining us. Today, we’re reporting another strong quarter with 25% revenue growth over last year and 33% growth in constant currency tax. Our Q2 revenue is $280 million above both consensus and guidance and represents sequential growth of 9% against Q1. Anthony will provide more detail update on our financial performance in second quarter as well as explain the changes in our Q3 in 2015 guidance. Before that I am going to first on business highlights and our operations in priorities. As you know, we are well into 2015 plan at this point. We also know what in our previous conversions that our strategies and plans were are set out some time ago in an attempt to realizing opportunities open up for service providers due to the strong digital disruption in the traditional marketplaces. Today there is a significant number of corporate wide information programs that many large and smaller companies are undertaking as a first priority. We also convenience now that these disruptions presented a very specific opportunity for EPAM through advance in the market so called product development services space. We talk previously in some level of debts about it. So during the last quarter, we continue to move forward in line with our plans. Also, if you remember at the begin of the year, we mentioned that we wanted to bring our new brand to life and present more consistent messaging around our growth service working in our target industries. As planned in the beginning of June, we launched our new website and now we consider the current state of it still work in progress and I think it always will be taken in account how fast all change in technology. We believe it's now better communicates our intent and direction. During the last couple of years we invested significantly both organically and via strategic acquisitions to develop strong digital capabilities within EPAM. We view this as a holistic mindset across all of the EPAM [indiscernible] not just enhance our standalone unit. We plan to continually invest into such capabilities and focus on growing new type of that [indiscernible] utilize in decisive thinking and services and methods to grab new business opportunities for our clients and new types of engagement for us. In addition, in last month we increased our North American footprint related depths and digital space with an additional Arch acquisition. While on this static I would like to mention that this acquisition strengthen also our capabilities in web content technologies specifically with the expertise in such recent platform at Sitecore and Sitecore was just this month recognized by Gartner together with their ability as a two absolutely just in web content management platforms. It also brings to EPAM several interest in clients including regional dynamics Medicare just to mention a few. But we are not starting to address digital area. We agree that some region industry expert that the real key in the capturing the digital shift is crucial to this types of programs into the very close integration of these enterprise platforms. This is exactly how we see the next very important in horizontal that we call Intelligent Enterprise. It is a real connective tissue that brings digital content information into the business at large, for us this is about building on core strength in XLVI and Big data, while expanding into data science and analytical areas. It also provides the ability to integrate all of that with traditional ERP sharing platforms and in many cases to help move all that to the cloud and finally to our assistant managing those applications in cloud infrastructure itself, or take a full ownership in particular cases of those tasks. All that is impossible without very deep advanced skill set and strong hands on understanding of the next generation technology platforms enterprise and related end tiers of accumulated enterprise level R&D engagement This is what our next advanced technology service line is working. From expertise in the next generation technologies to the more than constantly changing delivery practices and through our internal client oriented innovation lapse to test and to prototype new ideas and to research effectiveness and applicability for example, cloud sourcing through 0:06:19.2 [indiscernible] approaches to help solving various strategic client programs. Two decades of experience, sharing total global technology companies and being an extension of their R&D units for years puts EPAM into new position of working in a very different type of services to our demanding client. We suddenly become exposed to the very pressure and digital disruptions. And when our expertise in the advanced technology combines with our much [indiscernible] 0:06:48.6 in intelligent enterprise and digital engagements, we believe it is a very new preposition to the market. But we don’t stop there too. As you all know EPAM has always put great emphasis on software engineering excellence. That was actually our primary deadline for a very long time. That focus allow us to attract top portfolio for the companies in technology power houses of the world to utilize our engineering services, and then in turn helped us to develop our advanced technology understanding and capabilities at a very different level. And then another turn to support our intelligent enterprise and digital engagement service lines to the full extent. Therefore we continue to invest in and to develop the very core engineering competency. We do it through very structured talent acquisition created, very specific training in our harmonized talent retention programs including our regular software engineering conferences, local and global hacthones, specialty awards and other internal development programs. Without this core engineering skills, and I think we talked about it before, could be delivering for those new types of solutions, our clients expect from us today. This core engineering service line really forms the foundation for much of the work we provide to customers in all our other service lines. In addition we also continue to see good amount of the business in our traditional independent software vendor segment which is still very strategic for us and allow us to stay in good shape and be much better, and much fully prepared for the new engineering and technology shifts which are constant today. So in overall the key challenges and investments which we face are how to combine those type of traditionally the very different service lines in the most effective way and make those work together from start to finish, to serve our client problems not just from conceptual standpoint, but from final delivery implementation and production standpoint. Now from vertical point of view. We are seen really interesting conversions in demand for vertical demand expertise together this new technology and service capabilities I mentioned today. They show strong traction this past quarter result relevant in retail business. I am optimistic about the growth in life science and healthcare vertical. It’s also very much in line with what happen in financial services and media and entertainment segment as well. From geographical standpoint; we continue to expand in large part but following our customer engagement expansions plans in Asia and Europe and also with have a new presence in Mexico. Asia is becoming more diversified in terms of verticals providing support in core engineering task and in also digital to some new customers and the retail medium consumer verticals. So that is high level of our go-to-market approach and that is mostly what we were focusing on and we’ll continue to focus. Along with our investments and business development in the current management practices reach a change and to support new requirement from the service lines we described. And clearly, very serious investments in market and branding efforts and programs Finally, I wanted to share a few examples of the types of new engagements that we are seeing, that I hope really look straight at the type of services we can provide now. So one good example of our designs and leadership driving real product development service is the work we started with the Vodafone and there are new products in Strap data from motor scooters. We started with our new services and had been providing conceptual design and working with the customer. We took it from initial concept to drew new item to industrial design, to application design and to final development. We’re seeing these type of design led engagements are a real opportunity for us to capture more in the market share in this product development segment. On the technical product development side, we said become a product development partner for Unify, who has a new product build in generation cloud based collaboration platform to enterprises. Well design is a big component of the engagement and where we successfully competed to start global design fronts. There is a real depth of technology capability that is required to build the project that should differentiate the sales against very serious global competition. It's included in project companies like Unify see us a strategic partner to help them develop in such fronts. Finally we are seeing how our existing customers is whom you have longstanding relationship like Adidas for example, push into new service model for such platforms like marketing technology and utilizing capacity agile for delivery. This is a potentially really interesting for us because it confronts our differentiation capabilities and our advantage in delivering this type of new service model to expand from traditional IT services to digital marketing area, but very tightly relying on strong conversion technology and core engineering capabilities. This is what exactly differentiates us in this product development services space. With that I will turn to Anthony to share more details on our performance and guidance.
Anthony Conte: Thank you, Ark and good morning everyone. I will spend a few minutes taking you through the second quarter results; then I will talk more about our outlook for Q3 and the full year. As usual you can find the full details of our results in our press release and on the quarterly fact sheet located in the Investors section of our Web site. Q2 was another solid quarter of revenue, closing at 217. 8 million, and 24.7% over last year, 8.9% over prior quarter, and beating both consensus and guidance. Currency headwinds remained compressing our Q2 revenue by about 8%, meaning in constant currency terms we would have grown 32.5% over Q2 2014. Sequentially, we are up 8.9% from Q1 and 6.7% in constant currency terms; meaning, compared to Q1 we saw some currency tailwinds on our revenue. The key currency mix of our revenue in Q2 has remained relatively consistent with what I shared in Q1. North America remains our largest segment representing 50.7% of our Q2 revenues, up 27.6% year-over-year and 30.4% in constant currency, the difference being mainly movements from the Canadian dollar. Europe was up 27.5% year-over-year representing 40.1% in Q2 revenue. In constant currency terms EU would have been up 37.4% year-over-year. APac continues to grow and diversify away from just banking and financial services, now representing 2.8% of revenue and growing 14.9% sequentially. CIS continues to struggle and is down 20.9% year-over-year representing only 5.4% of revenue in Q2. The dynamic of this drop in both currency and volume related. But in constant currency terms, CIS would have been up 8.5% year-over-year. In terms of our industry verticals we have seen some tempering of the growth in the banking and financial service industry this quarter, at about 10.7% growth rate, due to significant slowdown in the Russian banking customers, offsetting the healthy growth in the banking sector we are seeing in other regions. We are seeing some encouraging expansion with the travel and consumer space, especially in Europe, growing 42.3% year-over-year and 18% versus prior quarter. The upswing represents account growth across the board and specifically increased traction in the EU market. Life sciences and healthcare, our newest vertical grew 8% sequentially, business information and media and ISV, both demonstrated continued strength generating over 20% year-over-year growth. Our other vertical which is a collection of customers from barriers industries is down 6% year-over-year, due primarily to the Russian ruble decline, but is up 6% sequentially. We are seeing some positive trends with our customer concentration numbers. Our top 20 accounts grew 22.3% year-over-year now represents 55.3% which is down 1% from last year in concentration field. All other clients outside our top 20 grew 27.5% year-over-year. Now, turning to our expenses. We completed the quarter with over 13,200 IT professionals, an increase of about 20% compared to Q2 of 2014 and 10.8% increase year-to-date. Currency continued to generate some benefits to our cost of revenue in the quarter when compared to prior year. There was approximately 8% constant currency benefit versus Q2 of 2014 and the allocation of our currencies across our expense base also remains fairly consistent with what I shared in Q1. Utilization for the quarter was up 76%, slightly down but still in our target range. GAAP income from operations increased 27.8% year-over-year to represent 10.8% of our revenue in the quarter. GAAP IFO includes stock-based compensation expense and certain other acquisition related costs that we exclude from our non-GAAP measures. Stock-based compensation for the second quarter increased 108% over prior year. This is mainly driven by being 60% plus increase in our stock price and 40% of the total Q2 charge and 55% of this increase is related to the acquisitions that we made in 2014. Our non-GAAP income from operations for the quarter after these adjustments, increased 27.7% over prior year to $36.9 million, representing 16.9% of revenue. Our effective tax rate for the quarter was up closing at 21.3%. Overall, the tax rate is increasing due to subtle changes in our organic geographic mix of current year earnings, shifting towards countries with higher statutory rates. Additionally, new tax jurisdictions or deeper concentration into some existing jurisdictions from the acquired businesses in 2014 and area such U.S., Western Europe and Asia also added to the increasing tax rate. For the quarter, we generated $0.64 of done GAAP EPS at the top end of our guidance and $0.37 of GAAP EPS based on approximately 52 million shares diluted outstanding. Our balance sheet remained strong. We finished the quarter with approximately 205 million of cash. During the second quarter, operating activities generated approximately 2.2 million of cash. Unbilled revenue was at 92 million as of June 30th. Accounts receivable was that 135 million and DSO ended the quarter at approximately 51 days. With that I'll now turn to our guidance. We are increasing our full year 2015 revenue growth expectations to 23% to 25%, non-GAAP net income growth for 2014 is now expected to be in the range of 22% to 24%, and our effective tax rate will be approximately 21%. For the third quarter of 2015, EPAM expects revenues between 238 million and 240 million representing a growth rate of 23% to 25% over the third quarter of 2014. Third quarter of 2015 non-GAAP diluted EPS is expected to be in the range of $0.66 to $0.68 based on the estimated third quarter 2015 weighted average share count of 52 million shares. GAAP diluted EPS is expected to be in the range of$0.43 to $0.45. With that I would now like to turn the call back over to the operator and open up for Q&A.
Operator: [Operator Instructions] Our first question is from Anil Doradla from William Blair. Mr. Doradla? We will move on to our new questioner. Our next question is from Jason Kupferberg from Jefferies.
Amit Singh: It's great that you guys raised the overall reported guidance just wanted to get a sense of that in second quarter it seems like the FX headwinds were slightly lower than what you guys were expecting around 70 basis points lower, and for the full year you guys have previously talked a 6% year-over-year FX headwind. I’m trying to get a sense of has that expectation change as well, I mean ultimately I’m trying to get your constant currency revenue growth guidance for the full year?
Anthony Conte: Yes, hi, the expectation for the full year has not changed. We saw some pull back in currency in Q2, but if you look at what happened really over the past month, it looks like the Ruble is starting to fall again. We’re seeing some weakness in Hungarian Forint, and the Pound in Europe as well. So I would say our expectations remained consistent with what we have given kind of 5% to 6% full year. The Q2 coming in slightly below our initial expectation, looks like it is reversing in Q3 at this point.
Amit Singh : And then for the guidance raise, if you could breakdown, I mean how much of it is from the second quarter upside versus the expected contribution from navigation arch. And while you are speaking about it, if you could give us a little bit of sense of how much inorganic contribution is supposed to be in your 2015 revenues.
Anthony Conte: When you say inorganic, you're specifically talking at navigation arch or are you talking about comparatives to prior year?
Amit Singh: First to start-off in this year, your guidance raise, how much is it from the second quarter revenue upside, and from the expected contribution from navigation archs in your full year revenue?
Anthony Conte: It’s very hard to separate the two. With navigation archs, we've actually already begun a full integration and we have some plans where we are actually going to market as one company already, so the guidance actually includes a pretty well integrated go-to-market approach. So I can’t clearly separate the two, from what’s organic and what’s coming from navigation arch, just the way we did this acquisition. Roughly speaking I would say that if you look at the first half of the year and the over performance from the first half for the year combined with our expectations for the second half and including navigation arch you can roughly say 50-50 is organic and inorganic, but again that line is fairly blurred based on how we’re moving forward with integration and navigation archs and what we are seeing as probably traction with their existing accounts and the growth expectations we have.
Amit Singh : All right perfect and just one last one from me, for margins I mean you guys are showing year-over-year, adjusted operating margin improvement and this quarter it was up 40 basis points year-over-year. How much of that is related to FX and as you are talking about the full year, are you guys still expecting to be in that 16% to 18% range?
Anthony Conte: Yes, we are expecting to be in that range. And the impact on margins from FX is actually relatively small. We tend to be relatively in actual hedge. We see some real headwinds on revenue -- believe no other benefits on the expense side, so it's really negligible benefit at the operation margin level from currency.
Operator: Our next question is from Anil Doradla from William Blair.
Anil Doradla: Just a small clarification, skipped a little bit of your prepared remarks, but on the infrastructure service, I know it's a very small portion of your business, but what's going on there? I mean from a sequential and year-over-year, growth not very strong.
Anthony Conte: Nothing's really special. I would say that it is really not a significant piece of our business. It's not something that we actively go after or actively market. A lot of our infrastructure services is related to other services in the software development space that we are providing. So it's not something we are really focused on. It's relatively small piece of the overall revenue Pi. So it moves randomly within the 8% to 9% in that range there.
Anil Doradla: Right, and Arkadiy as a follow up, can you talk a little bit about talent, your ability to source talent and ability to get the right personnel, clearly you are moving in the right direction, you are hiring a lot of people. Can you at least qualitatively talk how the talent pool is? Many of your competitors are opening shops in some of the geographies that you are present in. So would love to hear what is going on at that front.
Arkadiy Dobkin: Yeah. It would be good if you confirm who is opening so. I think we mostly in line is our regular core maintenance hearings so it's, I am repeating probably this each call that in general there is definitely shortage of talent and I mentioned today what we are doing in this area and how we are trying to not just hire from market, but grow people internally, but at the same time working with university. I wouldn’t say anything new happening this quarter and I wouldn’t say that there is some specific issue which we may consist doesn’t work like several quarters ago. It is one of the challenges and this challenge we kind of inflation for the -- probably for the decades and probably it will deflate some more so, don't see any changes.
Operator: Our next question is from Steven Milunovich from UBS.
Steven Milunovich: Good morning this is Peter in for Steve. Thanks for taking my question. Anthony could you give us a sense of what attrition was in the quarter?
Anthony Conte: Attrition came in at about 7.5% for the quarter, voluntary, yes.
Steven Milunovich: Voluntary, so that marks two quarters your 8% or below, is that changing your plans for headcount growth for the year at all?
Anthony Conte: We’re adjusting based on that and continue to watch attrition levels. As we said in Q1, we’re still benefiting from some of the macroeconomic issues that are going on in CIS region and that's helping keep attrition low. So we keep watching that. We do expect it to start to go back up to normal levels at some point, but we modulate our headcount in recruiting based on what we’re seeing for attrition trends.
Steven Milunovich: Okay. Any sense of what type of headcount growth you are looking for to exit the year end.
Anthony Conte: I’m sorry, can you repeat that question?
Steven Milunovich: What the expected headcount growth that you are expected to exit this year at?
Anthony Conte: It looks like we’re on target to roughly in the high-teens to 20%.
Steven Milunovich: And then if I look at SG&A, its up about 300 bips as a percentage of revenue year-over-year, same as last quarter, should we consider this roughly the new baseline. And if currencies were to reverse and go against you, how flexible are you in controlling that spending?
Anthony Conte: We can definitely control the spending, a part of the uptick that you are seeing is related to -- we’ve opened a number of new locations which brings new facilities, some new overheads, but not upfront investments to get those facilities up and running. So a lot of that, front runs, when those locations can become billable. So that's causing a spike in my SG&A. As far as currency goes, SG&A, a lot of that tends to be in US dollars. So we don't get a ton of benefit through the SG&A line from currency, most of that seems to impact our cost of revenue. And so that causes a little bit of the swing that you see in percentage of revenue. So we get benefit from cost of revenue which helps gross margin go up, but SG&A doesn’t get as much of a savings from currency.
Steven Milunovich: That make sense. And then if I look at revenue per engineer adjusting for currency, it looks to be up nicely about 6%, 7% year-over-year. Can you attribute that to more of a changing dynamic of the mix of work that you’re doing or our pricing uplift contributing to that as well?
Anthony Conte: Honestly, we don’t spend a lot of time looking at that particular metric revenue by headcount. It’s not something that we analyze, so I can’t answer that specifically. As the reason for the uptick, I think that we are seeing increases from a pricing perspective still. Unfortunately currency headwinds are taking a lot of the price increases away because we have a lot of ruble, pound, euro and euro based revenue. So we’re seeing some headwinds taking away some of that pricing benefit. And we are seeing ourselves continue to sell the higher value services and we’re moving more and more towards higher product development services and I don’t know, Ark, if you want to talk more about that mix of our services.
Arkadiy Dobkin : We’re not sharing specific data here, but clearly again back to what you said a little earlier today, we see it as a digital consultative approach in this area, actually create very different entry point for us and very interesting opportunities in the market across all these verticals were we work. So I know, again we said tolerative couple of examples, but there are many more and this example is not a kind of singled out case. It's actually differently a representation of some type of trends.
Steven Milunovich: Is this changing some of these uplifts that you’re seeing from this consultative approach? How would you compare that versus some of the earlier success you’ve had with MT labs and leveraging some of the front end capabilities of that acquisition?
Arkadiy Dobkin: Its extension and clearly we will get as more experience how it works. And as also we mentioned that one of the key challenges is kind of how to make this type of capabilities working in good harmony and how to work from the beginning together when we start to consult and design. There is a very good understanding in how we’re going to deliver. And like all the successes are actually opposite when we started to work together, people from 0:32:59.1 [indiscernible]. Now it’s coming on a very different level and very different size of programs as well. So again that's an experience which we have already for two plus years and then we added, as we also mentioned service design capabilities, use great 0:33:16.9 [indiscernible] acquisition and now we call that we would be able to do it much smoothly with the new additional skill set.
Operator: Our next question is from Alexie Gogulus [ph] from JP Morgan. We’ll switch to Vladimir Bespalo from VTB Capital. Please proceed with your question.
Vladimir Bespalo: I have a question for both your verticals, so if you look at the growth rates they acquired diversion for example on banking and financial services. So we see a slowdown in some other verticals like travel and consumer and life sciences and healthcare; we see very good growth. So what is behind these, so this is the first question; and how to see these verticals going forward? , How big trends are going to develop, in particular in your guidance for the full year for example?
Anthony Conte: Well, on the banking and financial, I kind of addressed this in my script. The main issue in banking and financial is that the Russian Ruble dropped and the macroeconomic concerns in Russia have really impacted our banking and financial services clients there causing a significant pull back when we look at it as a percentage of our overall revenue, it actually dropped so much its offsetting all the positives that we’re seeing in Europe and North America and the traction we’re having there. As far as travel and consumer goes, again as I kind of referencing to my script, we are seeing, very broad based growth especially in Europe, and we are gaining significant traction in the travel consumer space and we saw some real heavy growth across the board in Europe and even in North America from the travel consumer sector.
Arkadiy Dobkin: But in general we expect as we also mentioned before, we expect growth and similar growth across all our verticals and there is clearly volatility, quarter-by-quarter depending on when new client start or some spikes in delivery or special -- kind of very special deliverables for specific programs. And again results size, sometimes it actually great this kind of difference in growth, in particular quarter. But there is nothing special to change it.
Operator: Our next question is from James Friedman from Susquehanna.
James Friedman: Anthony, I want to ask you about the pricing environment. I know that you had mentioned that some of the price actions may have gotten compromised by foreign exchange. On a constant currency basis through how would you characterize the direction in pricing?
Anthony Conte: Direction in pricing for the constant currency is roughly in range with what we have discussed. We are still seeing 6% to 8% annual price increases. So we are still seeing a pretty healthy relatively speaking pricing environment for our services. So very consistent with what we have discussed in the past.
James Friedman: Okay. And then with regards to the top 10 customers, I know you called it out, as seen here in fact sheet here, looks like you jump a bit year-over-year, was down sequentially. I guess my question is how far behind the top 10 is that revenue rushing in? So was this balanced across the remainder of the customer base or are there others that are up and coming that may enter the top desk style here?
Anthony Conte: Yes, it's definitely across the board. And I think I have shared one of metrics that talked about, I looked at it slightly at top 20 and below the top 20. But if you look at all of our customers below the top 20, they are growing at over 27%. So, pretty healthy growth coming from the broad customer base. So we are seeing a lot of growth across the board, a lot of new customers coming into the pipeline and significant growth outside of the top 10 and top 20.
Operator: Our next question is from Alex Veytsman from Monness, Crespi.
Alex Veytsman: Just want to talk to you about Europe. It looks like sequentially you had roughly 7 million to 8 million upside from the first quarter to the second quarter in the European market. What's specifically driving that upside, where are you seeing the strongest trends right now?
Anthony Conte: In Europe end markets specifically Alex, is that the question?
Alex Veytsman: Yes, specifically in Europe. Yes.
Anthony Conte: Well, as I mentioned the travel consumer was actually one of our strongest sectors in the European market for this quarter. Additionally banking and financial continues to be a very big market for us in Europe as well. Obviously UBS is based out of Europe and continues to grow strongly for us. We have a number of new banking customers, and we have a number of new travel customers and the consumer space. So those three areas tend to be the strongest growth for us in Q2 in European market.
Alex Veytsman: And then it looks like that CIS as a percentage of total revenues is stabilizing, actually increased for the first time in last several quarters. It's roughly 5% of total revenues, is that what you expect as a run rate for the rest of the year and maybe continue as well?
Anthony Conte: Yes, that’s approximately we’re expecting it to settle in at. The Q1 is typically very slow quarter for CIS. There is just you have half of January with the holidays and just a low billing month in February. So Q1 always slow in CIS. So Q2 is more of a normalized trend that I would expect to settle in around there, subject to impact coming from the ruble as you probably seen starting its fall again in July.
Operator: Our next question is from Steve Malonivich from UBS.
Stephen Malonivich: Last one for me Anthony. Can you just give us the bridge between GAAP and non-GAAP for the full year and the quarter?
Anthony Conte: So the bridge thing, go through the specific items or amounts, or what specifically do you mean?
Stephen Malonivich: Sure, there will be great, if you could just go through expectations for stock comp.
Anthony Conte: I’m sorry, the forecast demand?
Stephen Malonivich: Yes, please.
Anthony Conte: So the stock comp should remain relatively consistent for the balance of the year, looking at probably 11.4 million to 11.5 million per quarter for the second half. And then amortization of intangibles should be around 1.5 million per quarter. And FX; I’m putting FX in a roughly about million a quarter in loss and we’ll see where that settles out. I mean FX is always our big kind of capture because nobody knows where exactly it's going to go exactly.
Operator: [Operator Instructions] Our next question is from Ivan Belyaev from SberBank.
Ivan Belyaev: Good afternoon, this is actually Joya Gurcheva [ph] from SberBank. Just curious on your guidance that you have up by about 14 million to 15 million. How much that is coming from navigation arch?.
Anthony Conte: Sure I'd kind of address this one earlier. With navigation arch it's very difficult to separate it out, because we have already actually began integration of nav arch and our go-to-market approach is much more integrated than really any other acquisition we’ve done in the past. So there is no clear separation. Roughly speaking we said about 50-50 is the split of organic in that arch, but again that line is heavily blurred as we’ve already done a lot of integration and we’re really moving forward as one company especially with a lot of their existing clients.
Ivan Belyaev: Is it possible then maybe to comment on just the revenue base of the company approach to your acquisition and maybe to talk about the cost?
Anthony Conte: No, I am sorry, we don't really share that information.
Operator: Ladies and gentlemen we’ve reached the end of our question and answer session. I’d like to turn the floor back to Arkadiy Dobkin for closing remarks.
Arkadiy Dobkin: Thank you everybody again for participation today. So it was a good quarter for us and again no any specific news; we just probably good as well, too good. So we’ll be talking to you in three months and therefore good day today. Thank you.
Operator: Thank you. This does conclude today’s conference call. You may disconnect your lines at this time and have a wonderful day.